Jens Geissler: Good morning, everybody, and welcome to our quarterly statements conference call. This is Jens Geissler. Joining me this morning are Stefan Heidenreich, Beiersdorf's CEO; and Jesper Andersen, our CFO, who would like to share with you our business results of the first nine months of 2017. We will start with a brief presentation, which you can access through the link in your invitation followed by a Q&A session please remember that the Q&A session will be limited to two questions per caller. I will now hand over to Stefan Heidenreich.
Stefan Heidenreich: Good morning, ladies and gentlemen. Jesper Andersen and I would like to welcome you to Beiersdorf. Thank you for interest in our company. We will now report on Beiersdorf performance in the first nine months of 2017. We will also provide a forecast for the year of 2017. Ladies and gentlemen, Beiersdorf is increasing its sales forecast for 2017. This is based on Beiersdorf strong sales growth during the first nine months of the year. Both business segments, Consumer and tesa, have exceeded the original sales growth expectations. Sales of both segments have risen steadily each quarter, with a particular strong boost in the third quarter. With our growth rate, we significantly outperformed the market. Consequently, we have increased market shares and strengthened our global position. This success is a result of continuous hard work over the past years as well as significantly improved competitiveness. Above all, our strong growth reflect the effectiveness of our business strategy, which we have expended with important forward-looking aspects. I will share some more color later. Importantly, there has not been any significant back-winds recently from the macroeconomic environment and this is unlikely to change much in the coming months. Our result in details. Beiersdorf increased organic sales in the first 9 months by 5.1%. Sales were up 4.9% in nominal terms from EUR5.032 billion to EUR5.281 billion. To add some color here, the quarter came in, quarter 3, with 8.5% if you exclude the named EUR35 million from cyber, it would end with 6.4% for the quarter. On tesa, tesa reported extraordinary sales results over the past 9 months of the current fiscal year. It achieved strong organic sales growth of 11.1%. In nominal terms, sales were up by 10.6% from EUR855 million to EUR945 million. Again, some color on quarter 3, came in 15.0, minus a 5 for cyber, leads to 13.3 for the quarter 3. Both the direct business with industrial customers and the consumer business contributed to the strong upwards sales trend. tesa's American business was very successful in particular, with applications for the automotive industry. Following weaker business performance in the same period of the previous year, tesa has regained its former strength, with strong growth in Asia. The Consumer segment. The Consumer Business Segment also experienced strong growth in the course of the year, recording organic sales growth of 3.9% in the first 9 months. In nominal terms, sales growth by 3.8% to EUR4.336 billion from EUR4.177 billion in the previous year. To add some color here too, the quarter came in 7.1% organic. Minus the EUR30 million cyber, it would be to 4.9%. All Beiersdorf core brands contributed to this success. NIVEA sales rose by 3.7% in the first nine months; Eucerin sales were up 2.4%, while Hansaplast increased sales by 2.7%. La Prairie continued on its strong performance, achieving a 13.5% increase in sales. There were regional differences in sales performance. Europe achieved organic sales growth of 2.2%. In Western Europe, sales were up 1.5% on the previous year. In Eastern Europe, Consumer boosted growth by 5.1%. Organic sales growth in the Americas increased by 2.5%. In North America, sales were up 0.9%. Sales in Latin America climbed by 3.6%. In the Africa, Asia, Australia region, Beiersdorf again substantially grew its market share by 7.7%. China continued its positive growth trend. Ladies and gentlemen, let me sum up. Beiersdorf is well-positioned with its business model and brands. This clearly showed our sales performance in the first nine months of 2017. Since our high level of efficiency and our ability to adapt to changes in the market, our company sets itself more and more apart. Profitable growth was and is our aim. Our Blue Agenda, the strategic compass of our company since 2012, has led us on this sustainable growth path. Over the past few years, we have strengthened our core brands, introduced big innovations, strengthened our positions in emerging markets and significantly improved our efficiency. Beiersdorf figures over the past few years speak for themselves. Between 2012 and 2016, group sales have increased by 4.5% on average. The EBIT margin from operation has improved from 11.4% to 14.8% between 2011 and 2016. At the same time, our company value has more than doubled. Market capitalization increased from EUR10.466 billion to EUR23.194 billion in June 2017. In short, we have hit new highs. But we see no cause to rest on these achievements. With our sights set on the future, we extended our successful business strategy, the Blue Agenda. With the new Blue & Beyond strategy, we are getting the company ready for the world of tomorrow. The strategy's main objective is to significantly strengthen Eucerin, Hansaplast, La Prairie and tesa by tapping the potential of these franchises. Our aim is to make them as successful as NIVEA. The other focus is the digitization of our entire company. This is a key priority on our agenda. Coming to some more specifics. First, on brands. We set out to strengthen our brands, Eucerin, Hansaplast and La Prairie and we deliver. La Prairie recorded double-digital growth of 13.5% in the first nine months of the fiscal year. This success is due to compelling innovation, a sharp brand image and a targeted increase in e-commerce. Recorded a similar upward growth trend of 2.7% with Hansaplast, one of the growth drivers was the innovative plaster designed for wound care, silicon soft. This product offers dependable wound protection and painless removal and innovation. Eucerin has also achieved further sales growth of 2.4% with a strong increase in the third quarter. The next point on innovations. Compelling innovations are the DNA of our business. Within a very short period of time, the new generation of NIVEA Sun clothes protection has become a major growth driver in the area of sun protection. The response from customers and consumers in all markets was exceptionally positive, further strengthened our global number one position. NIVEA Body 48 Hour is a paraben-free product innovation that gives 48 hours of intensive moisture protection for the skin. With this long-lasting moisturizing effect of the NIVEA body milk, Beiersdorf again, is setting new standards in the skincare worldwide. Beiersdorf successfully launched the new skincare range, NIVEA Urban Skin to many international markets, just now. The product was developed especially for people whose skin is highly stressed due to a high amount of pollution, in the large urban environments where the special antioxidants strengthens the skin's resistance. The sun protection factor 20 and the 48-hour moisturizer ensures that the skin is protected and improve its regeneration. Next point on emerging markets. One of Beiersdorf's key success factors include our targeted activities, we have driven forward in emerging markets. In the past few months, we have been particularly successful in China. This development is mainly based on the accelerated expansion of our e-commerce business. We have further extended our collaboration with Alibaba and Jingdong, the two biggest e-commerce platform providers in the country. Through their platforms, we have increased or have access to 650 million consumers in China alone. We now generate more than 25% of our total sales in China in e-commerce and this is growing significantly. Next point on the digitalization. Ladies and gentlemen, digitalization is an essential part of our business strategy. Beiersdorf's focus is on expanding our digital marketing and our e-commerce activities as well as improving the digital capabilities within our company. These activities are proving successful. Our app, NIVEA for me, was considered best practice in 2017 by Google. Eucerin is likewise successful with its digital offensive for the new acne product line, DERMOPURE. The key component of this campaign is an interactive app for consumers, developed in close cooperation with dermatologists. It offers advice and personal coaching for skin problem in a new way. Let's come to the guidance. Ladies and gentlemen, I would like to conclude with our guidance for the full year 2017. The economic and political volatility is likely to continue in many regions. Still, we are looking ahead to the future with optimism. Beiersdorf is lifting its group sales forecast as a result of the strong growth performance in the first nine months. The company now expects sales to grow by 4% to 5% in 2017. The group earnings forecast remains unchanged. The EBIT margin from operation is expected to slightly exceed the prior year figure. The tesa business segment now expects sales growth of around 8%. EBIT margin from operation is now expected to be up slightly on the previous year. Thank you for your attention.
Jens Geissler: Thank you. We will now start the Q&A session and are happy to take your questions. Maximum two or each participant, please.
Operator: [Operator Instructions] First question comes from the line of Alain Oberhuber of MainFirst. Please go ahead.
Alain Oberhuber: Good morning, gentlemen. Alain Oberhuber, MainFirst. I have two questions. The first is regarding the guidance you gave, the conservative guidance on margins, in particular, in the light of the strong growth rate we see with the high-margin business of La Prairie. What is the reason for this conservative outlook? And maybe you could also dwell into some expectations regarding the extraordinary costs of the cyber attack. And my second question is you had very strong growth rate in Africa, but we could read online that you had some issues regarding the NIVEA Natural Fairness promotion and marketing in Africa. Could you give us a little bit more insight there and where we stand?
Stefan Heidenreich: Yes, I mean, I think the guidance, I'll let Jesper talk. On the second one, it was definitely something we had lost on the campaign we did in Ghana. It peaked for one or two days, but it's now down to normal level. We took the corrective actions. These are things which we have to live with in this world, but it didn't cause any issuance on sales or performance.
Jesper Andersen: And so this gives me an opportunity. Good morning, ladies and gentlemen. First of all, on the margin. I would maybe start with saying that our efficiency program, as we've talked about several times, is well on its way. We continue to deliver on our expectations around the efficiency program, delivering the fuel that we need for our growth and the growth that we see materialize in our results. However, the cyber attack, obviously, had a cost effect. You would have heard that from other companies that was impacted as well and we have also experienced cost related to this. One, related to the fast recovery, which I think is evident in our results as well, on a year-to-date basis, but also, based on the learnings that we are getting, we are obviously, building even better protection and recovery capability. So we have incorporated the expectations around these costs in our projections for the year and that's why we are staying at the guidance and we will be well within the guidance.
Alain Oberhuber: Thank you very much.
Operator: Next question comes from the line of Taylor Richard of Morgan Stanley. Please go ahead.
Richard Taylor: Good morning. It’s Richard Taylor from Morgan Stanley. How you doing?
Stefan Heidenreich: Good morning.
Richard Taylor: Just a simple question for me on the category growth for skincare year-to-date. What do you estimate the current category growth to be?
Jesper Andersen: At the moment, what we’re seeing is that first of all, that has slightly picked up again. We had some years which are also talked in these cause, that there was quite a move to make up, which is still there, but less, and that at the expense of skincare, so skincare is back to 2%. So that’s what we’re seeing. We expect this even further to accelerate in 2018 and 2019 on that trend, so we feel very good on skincare in general as always.
Richard Taylor: Okay, thank you.
Jesper Andersen: Thank you.
Operator: Next question comes on the line of Guillaume Delmas of Bank of America Merrill Lynch. Please go ahead.
Guillaume Delmas: Good morning, gentlemen. If we go back to your organic sales growth in Consumer, there’s been a very strong acceleration sequentially, even after adjusting for the IT cyber attack. With a 2% category growth, that effectively means you’ve been growing at more than twice the pace of category in the third quarter. Could you shed some light on what is driving this pickup in outperformances in the phasing of new product launches, the pickup of A&P you announced at the hedge on results stage? Any color on that would be helpful. And then also, more importantly, do you think this is sustainable going forward, that twice the pace of category growth? And the second question I had was around some comments made by Unilever last week around some intense promotional activities in Western European deodorant. Have you witnessed the same trend? Or are you actually the company pushing these promotional activities? What are the implications for the category profit pool? Thank you.
Stefan Heidenreich: Yes. Good morning, Guillaume. First of all – I mean, I would like to say first of all, we are very, very happy with the performance, all right? And I think if you said nicely double the growth, I would call it triple or quadruple the growth, just simply by the fact don’t forget, we had end of June, the cyber attack. And I’m saying it again; the company did a great job on really getting out of that quickly and achieving such a result at quarter three, which is, by the way, a further acceleration, because I already said that quarter two was good, quarter three was just better. And I’m also, as you hear in my voice, quite confident that we also finish the year in good style. What drives this? I mean, it’s clear we are growing market shares like never before, especially also against competition in many categories. That makes us very happy, because I still believe that market share’s one of the hardest currencies which you look at. I think there are two major – two or three major factors. I mean we have a lot of innovations coming up. The pipeline is very full. We’re also launching quite a lot still in the Q4, so that gives us confidence, and some of these innovations like I iterated, like sun clothes protection seem to be really hits, not only this year, also next year so, and also the Urban Skin line, what we see, first reaction’s very, very positive. The other thing what I want to draw the fact in general on it is that our new strategy, which we started last year, the Blue & Beyond, is also paying out. And you see they’re number 1 in tesa. I mean, tesa had a fantastic run there, over 10%. And you also see it in the La Prairie numbers, which okay, the market in general is good, but particularly also in La Prairie. So we’ve seen – and even Hansaplast who has never grown over years is growing and also Eucerin is growing. So overall, it's a more balanced strategy and we are putting the company on more legs than just NIVEA and that doesn't mean NIVEA should grow less. On the contrary, it should grow also further, but the others are also contributing to the growth now.
Guillaume Delmas: The deal promo?
Stefan Heidenreich: The deal promotion, yes. I mean, I don't use that excuse. I don't ask that. I mean, I think the promo intended here, it's as intense as it always was. I don't see any higher, any lower and it is what it is in this world. Yes, and we're having good fights in many categories with our friends, yes.
Guillaume Delmas: Thank you.
Stefan Heidenreich: Thank you.
Operator: Next questions comes from the line of Celine Pannuti of JP Morgan. Please go ahead.
Celine Pannuti: Yes, good morning.
Stefan Heidenreich: Good morning.
Celine Pannuti: I wanted to come back to Consumer performance in the quarter. You mentioned that the growth rate of the market was around 2%. Could you talk about where is it that you are gaining share, if you could put this comment in terms of category? And my second question is really, we've seen a strong acceleration in the A/A/A region, which is now growing double-digit. Can you tell us why that is? Where is it that you've seen the strong acceleration in demand in that region? Maybe if you could share with us some key market growth like China and whether you think that double digit are sustainable? Thank you.
Stefan Heidenreich: Well, I mean, the – we are not giving much more clout on categories. But you can expect with an 8.5% growth in Q3, this does not come from one category, it comes from many categories. So the majority of the categories is very positive at the moment. On Asia, indeed, we're doing better. I did, in my speech, elaborated a lot on China. We see a turnaround in China, which is nice. It simply stems from the fact that the e-commerce business is gaining more and more weight and that's growing significantly. So net, the portfolio is gaining at this stage and, obviously, also in a profitable way. Then we're seeing good results in Japan. We are seeing good results in India. So this whole region, which was always a weaker region for us, it seems to be that we've planted some good roots in the past, which are now paying more and more off, which also means I'm confident that this continues for a while.
Celine Pannuti: So would it be fair to imply that China is growing even faster than the A/A/A region?
Stefan Heidenreich: No comment.
Celine Pannuti: Thank you.
Stefan Heidenreich: Thank you.
Operator: Next question comes from the line of Marion Boucheron of Raymond James. Please go ahead.
Marion Boucheron: Hi, good morning. One question on tesa first, looking at the guidance you've lifted by 8%. In full year, would imply close to a flattish Q4 or is there a specific reason behind that? Then I was wondering if you could quantify the costs related to the cyber attack as I guess that should imply a sharp uptick on margin next year, if we don't have this coming again. And then if you could comment a bit on the trends you are seeing in emerging markets such as Brazil or Russia recently.
Jesper Andersen: Maybe let me start with tesa. So I think, first of all, as Heidenreich already said, we are extremely pleased with the performance of tesa. We're continuing a very strong performance. And it's really driven behind the automotive segments globally, not only in Europe and then also strong performance in the electronics in Asia I think. And maybe a little bit of color on that. It is interesting It is interesting that with the electronics, that it’s not only the big customers that we all know, but it’s also a broad base of many smaller Chinese manufacturers, which is delivering strong performance. So that’s the reason why we are doing so well in the year-to-date. What we expect on the fourth quarter, yes, we do expect flattish performance for the end of the year. We are up against a much stronger comp versus last year. This is where we’ve begun to saw the reacceleration of tesa. So the comparisons are much more difficult. And we also expect some increased competitive intensiveness in the last quarter. So that’s why we see the end of the year being flattish. In regards to the cyber, we will not quantify what that value is but just reiterate that we have incorporated that within our values for the guidance of the end of the year.
Jens Geissler: We said it would not be material and we have two parts on that. The part which was the immediate recovery after the incident, which was not really material and then we had another bit, which we had to take in order to protect ourselves better against the future incidence. So in total, we still don’t – we still would call the number not material, but there was an impact on our performance obviously. In Consumer also, an effect on – well, on margins coming from raw material and FX, which impacts Q4 and probably also the full year.
Marion Boucheron: Okay.
Operator: Next question comes on the line of Sarah Barr of Jefferies. Please go ahead.
Sarah Barr: Hi. So you had a very strong quarter in Q3 and I was just wondering if I could ask a few more questions on that. So I guess you’ve clarified that some of the strong performance was in electronics in Asia. But do you expect that to become more competitive in Q4? And is that to do with the contracts you have there? And the second thing is that you called out positive trends in autos in the Americas? But I think the more significant acceleration was in Europe. So I was wondering if you could help us understand that better. Thank you.
Stefan Heidenreich: So on the electronics in Asia, then yes, we do expect more competitiveness on some of those contracts going forward. In particular to Europe, I think here, maybe the single quarter is not the best measure. I think, look, because we had the cyber attack that was probably more impactful in Europe than it was in other parts of the world. So I would look at the year-to-date numbers and there, we see it as strong acceleration in Asia and in Americas, but also a strong Europe behind both the consumer and trade segment and also, obviously, the automotive in Europe.
Sarah Barr: Okay.
Operator: Next question comes from the line of Rosie Edwards from Berenberg. Please go ahead.
Rosie Edwards: Yes. Good morning. Just to – firstly, just to clarify on the market growth. The 2%, was that just for skin or was that for your sort of total category exposures including kind of deos, men’s and also, obviously, La Prairie, which is sort of the premium end?
Stefan Heidenreich: No, that’s a 2% on for all our categories here. 2% of what we see.
Rosie Edwards: Okay, perfect. And are you able to give us any idea of the volume price split of the consumer growth, either, sort of, of the nine months or in the Q3 trend?
Jesper Andersen: No. We don’t normally talk about that split. What we are seeing is that the mix is a little more volume than price than what we’ve seen in the past, so that’s obviously part of that competitive scenario out there.
Rosie Edwards: Okay, fine. Perfect. And sorry, finally one more question just in terms of your focus on the digitalization. Obviously, it's one sort of your key pillars for the Blue & Beyond. Are you able to tell us, within your current media spend, how much is currently spent on digital?
Stefan Heidenreich: Yes, I mean, the digitalization is always – as I said is the main priority like in many other companies and I think we are seeing some really, really nice results now. Number 1 in some markets, particular China. We're seeing great results in some brands like La Prairie, Eucerin, doing very well. So I think the whole move of the company regards digitalization is well on its way. Also, the apps I told you about, that is – especially that one app we're very proud, which has been developed with dermatologists, state-of-the-art. And we're expecting also that to be a major factor for getting in touch with the consumer. In terms of media spend, I mean, it's increasing every year. I would reckon at the moment it's around 15% – 15%, 20%. Depends on the market very much so, right, especially when markets are very strong, like in China, you well achieve that. So it's a little bit an average number but you could have markets like in China well above 30%, 40% yes.
Rosie Edwards: Great. Thank you very much.
Operator: Next question comes on the line of Karel Zoete of Kepler Cheuvreux. Please go ahead.
Karel Zoete: Yes. Good morning, thanks for taking my question. I have two questions. The first one is on the acceleration you see within the North American consumer market, a market that's quite tough. Can you highlight why things has improved so much in the third quarter compared to the first half of the year? And the second question is on currencies. The dollar – the euro has strengthened versus many currencies recently. What should we kind of expect for currencies for the remainder of the year in 2018?
Stefan Heidenreich: Yes, I think I got this question already in a different way. We are seeing good to very good growth in Europe, which has not been the case for a while. Asia Pacific, as I gave some color already, is at the moment extremely nice. The Near East is coming up. And to your question to the Americas, it is there the area where it is probably, at the moment, very toughest. U.S is like with many others, not an easy bedded ground. Yes, we're improving, but it's not an easy bedded ground. And also Latin America, although we're still doing fine in Mexico, we have also seen more wind in the face. Or in Brazil, still positive. South Cornell where the Argentinian's elections should come around. But the Americas is at the moment, in general, tougher than it used to be.
Jesper Andersen: And regarding the currency. Then yes, at the current rates, we are facing some headwinds and if they stay for the remainder of the year, then we will have some headwinds that we have incorporated in our estimates. I think, in general, you would also see that our nominal and organic is aligned at this stage. So we are managing this very carefully.
Karel Zoete: Thank you.
Operator: Next question comes from the line of Toby McCullagh of Macquarie. Please go ahead.
Toby McCullagh: Two from me, please. First, on launches. You flagged Sun Body 48 Hour and a couple of others. Were there any trade load that was worth flagging in the quarter? And you flagged that there were going to be more product launches coming in the fourth quarter. I wonder if you could give us a steer on what categories we should see these in. And then sort of bigger picture on launches. Which categories are you most optimistic about, the innovation pipeline as we look into 2018? So that's the first one. And on the second one, Eucerin, as a brand, better in the quarter, certainly, but still sort of relatively modest once you adjust for the sort of 2Q, 3Q phasing. I just wonder, as a central part of the Beyond Blue part of the strategy, can you say what you are doing differently or what you will do differently for this brand to accelerate and live up to its potential?
Stefan Heidenreich: Well, on the first part, I mean, trade loading – is not anymore a real factor. So, I mean, at least not in Europe. So that is pure sales what you're seeing. On the innovation front, again on sun, obviously, the season is in Europe over, but it starts in a lot of other areas, now in South Africa and Brazil it's on. We have clothes protection for the first time. So – and clothes protection has really brought us, in many markets, substantial market share gains. So we're very happy with that one. And it's now being rolled out globally country-by-country and now hitting the southern hemisphere. The Body 48 Hour is paraben-free, as I said. Plus it is a 48-hour moisturizing complex, that has not been so far the case. So it's a real breakthrough in R&D. And we also put a lot of value behind it. Now here the season in most of the northern countries is now starting. I hope it gets a little colder, right. So far, it's very warm still in Europe and America, but season should still hit, it's still early. And then on the Urban Skin, we are very happy because that's an innovation which it particular targets younger consumers. It is a particular Urban concept. It's the first time which we – actually, the majority of our marketing focus is in cities, which is very new. Took that idea a little bit from China and also Africas where we cover cities much more and here, it is really protecting and regenerating skin in tougher urban environments. We are launching many more things in the coming months. It also is – it also has to do that we are heading into the 5-year cycle. I mean, normally big innovations need their time. So when I started in 2012, it took some time to build up the R&D and to build up the bigger hits. I think this is what you will see in the years to come; that bigger hits will be launched from us, which we are quite confident. And some of them you will see in 2018. There is one probably if you ask me, unfortunately there's one launch I'm extremely excited about, which I normally don't talk. You know we have a fantastic ride in Japan at the moment with our partner company. And there, we introduced, for the first time, Face, the face category into Japan and the first results, very early, the first six to eight weeks, show a significant market share gain, that obviously in one of the most important skincare markets in the world would be fantastic. So let's see how that all goes. Early times, but you see I'm pretty, yes, positive at the moment how things go, obviously, and let's see how we continue on that one. Eucerin, yes. Eucerin, I mean, first of all, I'm extremely happy with Vincent Warnery. He's now the board member and he has started. He's building our infrastructure. When you see – I couldn't actually go to all the success of La Prairie, but you see first signs there. You see 100 plus is coming up, which we tackled, and Eucerin, he’s now tackling, he has that knowledge. But it takes, obviously, in Eucerin a longer time. You have to build up detailing forces, you have to get your link again with the dermatologists. So you will see quite a lot of infrastructure costs and so on going into the P&L in the years to come, so we’re absolute adamant we’ll build this sector for the future and with the buildup of people, with the buildup of detailing forces and the dermatologists, you will also see the sales rise continuously over the years to come. We’re very happy with the progress we’ve seen so far.
Operator: Next question comes from the line of Alex Smith with Barclays. Please go ahead.
Alex Smith: Hi, morning, sorry.
Stefan Heidenreich: Hi.
Alex Smith: Yes, I think, Toby actually asked my question to a certain extent, which was about any variances between your sellout trends and consumer annual sell-in trends and sounds like there’s no issue with trade loading in Europe, but I was just wondering if you could comment on any of your other geographies, if there’s anything we need to be aware of in Q4? Or is it a case really across all your regions that the pickup in growth that you’re seeing in consumer is market driven and accelerated market shares? And then, I guess the second question on this issue around makeup seeing some slowdown, skincare picking up, I just wondered if you could provide some more detail on that, what particular regions, you might be seeing that. Do you expect this to be a trend to accelerate as you go through 2018? Thanks.
Stefan Heidenreich: Again, as I also already answered to Toby, sell-in, sellout is not of any concern you can be then sure Jesper’s sitting next to me, this will not be a concern since we have him. So – and particularly, with many customers, that was a thing from the past. With all the new systems and so on, this is not happening anymore at least in our industry. On makeup and skincare, I want to be quoted in the right way. I mean we are not an expert in makeup, not at all. We’re not competing in this category as – but the only thing we’re seeing, we are seeing general trends that, and I’ve said it very quickly a bit, that skincare is picking up again slightly. Makeup is plateau-ing. That’s what we are seeing. But you have to ask the other experts. Now country and – I think there has been – there is one major effect of that which will play more and more into our cards. It is very clear being an expert in skincare, the more makeup you’re using, the more you damage the skin. So it is very obvious, that thing. You put layers and layers of makeup on it, and that is not good for the skin. And because of that effect, also, the younger generation, which, obviously, use a lot of makeup, will eventually have to take care of their skin, and that will play into our cards.
Jens Geissler: Thank you. We have one more.
Operator: Next question comes from the line of Chas Manso of Societe Generale. Please go ahead.
Chas Manso: Yes, good morning. So my two. First on top line, you mentioned that Europe has been good, that you hadn’t seen that for a while. Clearly, you’ve had some good innovations coming through. But I was wondering whether you could give us a bit more color on what’s really driving that good performance in Europe. A lot of people saying deflationary times in European beauty, so is there any help from the category? Or is it purely market-share driven? And the second question is on the margin. Obviously, we see the sort of increased IT cost. But could you let us know whether the greatest – your, kind of, savings capture is the same as last year? Whether you’re continuing to save costs at the same rate as last year, or whether it’s faster or slower? And maybe whether your marketing support is going up to help to support the strong top line?
Stefan Heidenreich: Yes, I think we can make that two questions very simple. I mean, one is market share. I mean, I guess you all get years, and then you look at it. And I think that you see a significant increase there. Number two is the – I can assure you, Jesper doesn’t have to answer that question, we’re on efficiency as mad as we were before and this continue. We do have cyber costs and we put them in. That’s what we did. But our guidance, what we always said, 50 basis points every year is on.
Jesper Andersen: And there’s definitely no letdown on the focus on the efficiency. We are full speed on it. Also, not only on the pure P&L side, as we drive efficiency through the margin in particular, but also on the working capital. We are well on track to deliver on the promise of getting into single digit at the end of this year.
Stefan Heidenreich: Bottom line, it’s just a great result point.
Chas Manso: And you sound very confident that the current momentum can be continued?
Stefan Heidenreich: Well, I see October already, right? So not more.
Jens Geissler: Okay, thank you. I don’t see any more callers. Emma?
Operator: There are no further questions at this time, sir.